Operator: Hello, and welcome to Inseego Corp's Fourth Quarter and Full Year 2021 Financial Results Conference Call. Please note that today's event is being recorded. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity for analysts to ask questions. [Operator Instructions] On the call today are Dan Mondor, Chairman and CEO; Ashish Sharma, President; and Bob Barbieri, Chief Financial Officer, and other members of the management team. During this call, non-GAAP financial measures will be discussed. A reconciliation to the most directly comparable GAAP financial measures is included in the earnings release which is available on the Investors' section of the Company's website. An audio replay of this call will also be archived there. Please also be advised that today's discussion will contain forward-looking statements. These forward-looking statements are not historical facts, but rather are based on the Company's current expectations and beliefs. For a discussion on factors that could cause actual results to differ materially from the expectations, please refer to the risk factors described in our Form 10-K, 10-Q and other SEC filings, which are available on our website. Please also refer to the Cautionary Note Regarding Forward-Looking Statements section contained in today's press release. I would now like to turn the call over to Dan Mondor, Chairman and CEO. Please go ahead.
Dan Mondor: Thanks for joining the call today. 2021 proved to be a transformative year for Inseego. The investments we have made have resulted in a remarkable year and paved the way for a very bright future. We are better positioned today than we have ever been by nearly every measure. I'd like to touch on the two most important takeaways for this call. First, we had a great quarter with revenue of $72.9 million, up 15% sequentially when adjusting for the sale of Ctrack South Africa last summer. We improved on almost all our important benchmarks, including 5G revenue, recurring software revenue and others. We launched new products, one important new customers, both in North America and abroad and benefited from our supply chain investments over the last three years. You'll hear the details from Ashish and Bob on this and more. The second is the announcement that Ashish will be taking over as CEO, and I will assume the role of Executive Chairman. There are a couple of reasons that the Board and I thought this was the right time to make this transition. The company that I joined in 2017 was very different from where we are today. We had essentially one large carrier customer, a single hotspot product based on 4G technology underpinning everything and a balance sheet that needed fixing. Today, Inseego is an entirely different place with an entirely different future than we had five years ago, and it has also not Inseego just a year ago either. The future of this company will be driven by multiple 5G products, including importantly, our fixed wireless lineup, sold increasingly into the enterprise, whether alongside carriers or through distribution partners. Inseego will be centered around 5G, though 4G is proving to be resilient and a broad portfolio of software solutions driving recurring revenue. Ashish, who I recruited to join me here in the beginning has been the architect of our product and go-to-market strategy, including our industry-leading 5G roadmap and global rollout. We see 5G mobile, fixed wireless and software solutions for enterprise as our future instead of hardware devices sold to carriers. I am immensely proud of all that we have accomplished at Inseego, thanks to the hard work by many dedicated Inseego employees. So with our business model clearly validated and our leadership in 5G, this is the right time for Ashish to assume leadership of the company and preside over what I see as the single largest opportunity in Inseego's history. With that, let me turn the call over to Ashish.
Ashish Sharma: Thank you, Dan. I'm honored to be named the next CEO of Inseego and appreciate the confidence that Dan and the Board have shown in me. I'm very excited for the future of Inseego and hope to accomplish as much as a CEO as we did over the last five years. We closed the year with an outstanding fourth quarter. Revenue was $72.9 million, which is sequential growth of 15% after adjusting for the sale of Ctrack South Africa, and 10% on an as-reported basis. The stellar revenue performance reflects strong demand for our 5G and cloud portfolio across carrier and enterprise in our target markets. Our business grew sequentially in each quarter of 2021, driven by 5G and software solutions. For the full year, 5G revenue increased 132% year-over-year and grew quarter-over-quarter throughout 2021, and together with cloud solutions grew 73% in the fourth quarter compared to the first quarter on a pro forma basis. Importantly, we are making solid progress in our transformation into an enterprise company. Our 5G FWA pipeline has grown from 30 enterprise customers in early 2021 to over 200 and continues to grow at a rapid pace. Our success with initial deployments and trials with global Fortune 500 companies points to significant expansion opportunities in 2022. It is important to note that 5G has the unique capability to be adopted as primary WAN connectivity by enterprises. This is in stark contrast to 4G, which was predominantly utilized as temporary backup, a wired broadband service field. This makes a huge difference in how 5G will be deployed and is the fundamental reason the enterprise 5G addressable market is 4x as large as our current carrier market. In 2021, we launched a new family of 5G FWA solutions based on our leading high-performing 5G engine, and kept expanding on our value-added cloud-delivered software portfolio. Our 5G FWA enterprise solutions have higher software attach rates and higher gross margins than our carrier hotspot business. We grew our partner ecosystem by adding 79 new channel partners, including 39 internationally; these partners are critical in expanding our go-to-market reach to enterprises. Our products are certified in several regions internationally, and all three Tier 1 carriers in U.S. have certified our 5G FWA family of products. We expanded our strategic relationship with T-Mobile to encompass 5G enterprise fixed wireless access products on both, a cell-width and stock basis. And I'm pleased to say that in 2021, T-Mobile became our largest 5G customer. We continue our expansion internationally, announcing our growing partnership with Vodafone Qatar, which began offering our 5G FWA devices in Q4. And most recently, we announced our first 5G launch in Saudi Arabia with Zain KSA. Zain is a member of one of the largest and most influential mobile network operators in the Middle East with approximately 50 million subscribers. Australia is another region where we are expanding. In Q4, we launched our 5G FWA outdoor CPE with Telstra in addition to the launch of our 5G MiFi with Optus at the end of the third quarter. We've also ramped up our activity in Washington, engaging with Congress, cabinet departments and federal agencies that are shaping legislation, funding and standards to accelerate security and trustworthy 5G deployments. This includes our engagement with NTIA on it's domestic implementation of the broadband portion of the infrastructure bill, as well as partnering with departments and agencies on setting high standards globally that protect critical and emerging technologies and infrastructure, such as through our participation in the U.S. and EU Trade and Technology Council. Moreover, we are working with the commerce and state departments, USXM Bank [ph] and the U.S. International Development Finance Corporation and U.S. Embassy officials to help level the playing field and promote our products in international markets. Looking ahead to 2022, we see the enterprise 5G opportunity developing further and expect top and bottom line contribution from enterprise fixed wireless access to ramp as the year progresses. This reinforces our robust outlook for 2022 of 25% year-over-year growth and free cash flow positive by year-end. Finally, given how much of a strategic asset it is, I wanted to talk about our current supply chain dynamics. We've built an agile and flexible supply chain that has helped us avoid the major disruptions experienced by many of our competitors. That said, the traumatic cost and lead time increase in components and freight we experienced in 2021 did impact our gross margins this quarter. Although we are starting to see some supply chain stabilization, we expect these conditions to persist throughout the year, and our financial outlook for 2022 takes these challenges into consideration. I'm therefore confident in our ability to execute our plan for the year and believe our supply chain will remain a source of competitive advantage for Inseego. Over the past year, we built a strong foundation to capitalize on the numerous opportunities enabled by 5G. I'd like to share our view on how these efforts will transform our business. First, we continue to drive ahead with latest enhancements in 5G technology with support for 5G stand-alone, CBRS and C-band technologies, placing Inseego at the forefront of enabling the next wave of enterprise applications. These technologies expand the footprint of FWA broadband services and provide carriers with the opportunity to bring out the best of their networks. With standalone, carriers can separate broadband traffic from smartphone traffic to offer new dedicated service plans. With CBRS and C-band, carriers can offer even more services to their enterprise customers. To that end, we successfully completed Inseego's first 5G stand-alone tests with our devices on live networks in Europe and North America. And I'm proud to say that five of our 5G solutions are now certified over T-Mobile's 5G stand-alone network. In 2021, we achieved several key performance milestones and that we believe validate our leadership in 5G. Most notably, we helped U.S. seller [ph] achieve world record-setting long-distance military performance with a commercially available 5G FWA CPE that is greater than 1 gigabit per second or a 7 kilometers range. This is just one example of how we demonstrate outstanding performance with solutions for our global carrier customers. We are delivering on the promise to bring out the best of our customers' networks. Although we are still in the early innings of 5G adoption, we are encouraged by the pace at which our products are garnering acceptance across the globe, and the ever-expanding list of used cases being tested and deployed. In the Middle East, which is one of the best 5G developed regions in the world with over 9 million 5G users and 900,000 5G FWA users, we expanded our relationship with Vodafone Qatar, and they are now selling our 5G solutions. We also recently announced that Zain KSA is now selling our 5G MiFi M2000 in Saudi Arabia. In addition to the Middle East, we also shipped 5G FWA products to Telstra in Australia to support their launch in the fourth quarter. Domestically, our 5G portfolio is now certified for use with all three Tier 1 carriers in the U.S. Perhaps the most important development over the past year was our expanded relationship with T-Mobile for business, which significantly advances our 5G FWA efforts. As we mentioned last quarter, we have a number of additional 5G FWA products certified by T-Mobile, and we are incredibly excited about the pipeline of opportunities we are building with them. Our expanded go-to-market strategy with both channel partners and carriers is opening up numerous opportunities with enterprise customers that are testing our cloud-managed 5G solutions. Our commitment to designing the most robust, high-performance solutions on the markets is paying off. We are outperforming the competition in numerous instances, both in speed and importantly, sustained 5G connectivity. Early used cases are for primary and failover wireless WAN connectivity. Moreover, they are laying the foundation for future digital transformation efforts and adopting 5G enabling technology. And increasingly, we expect these customers to use our cloud management solutions to simplify their IT operations. We are seeing strong demand for our 5G solutions in many verticals. Let me provide a few recent examples of our expanded customer use cases in the retail, logistics, manufacturing and construction sectors. In the retail sector, we are working with several Fortune 500 retailers, including the leading grocery chain, and apparel and specialty equipment retailer, and a discount fashion and home goods retailer; each of these companies was searching for a reliable cloud-managed 5G WAN solution because in many areas, cable and fiber are either too costly, not feasible or unreliable. Cumulatively, they represent thousands of locations in North America. In the logistics vertical, one of the Top 10 food distributors in the U.S. has been testing our 5G cloud-managed solutions. In addition, we are expanding the scope of the DoD smart warehouse project. We've been working closely with JMA Wireless on that initiative, and our partnership is now gaining momentum as we look to provide cloud-managed connectivity to other government private network installations. In manufacturing, customers are testing our 5G FWA solutions to power applications that are essential to their digital transformation strategies. A leading automotive manufacturer in Europe is preparing to test our 5G SA fixed wireless solution for their own industry [indiscernible] initiatives, which requires highly secure, ultra-reliable, low-latency connections. Some used cases that they're investigating are wide-scale networking of machines, autonomous transport systems, robot-to-robot communications and augmented reality [ph] applications. In the construction sector, our solutions were recently selected by one of the largest self-storage companies in the United Kingdom as the primary connectivity technology for new locations where 5G proved to be most cost-effective, quick-to-deploy option. In addition to commercial and residential construction, we are looking to bring the power of 5G to the heavy civil construction vertical. We're working with two large construction and engineering companies. One company in the U.S. Pacific Northwest has integrated our 5G solutions to monitor on-site deliveries and inventory. And one of the U.K.'s largest construction and engineering companies is testing our 5G wireless edge solutions to power traffic monitoring and video AI in an effort to make roads safer. Moving forward, our focus is on both, growing the number of enterprise trials underway and converting these opportunities to broader deployments. We also expect 5G FWA revenue from carriers to build as the year progresses as several key partners are in the late stages of deploying new data plan packages and pricing. As our revenues from 5G FWA ramp, we believe our business model will be transformed due to the higher margins on our enterprise-grade solutions. We are no longer the Inseego of old, we are the leader in enterprise 5G FWA. And with that, I would like to turn the call over to Bob.
Bob Barbieri: Thank you, Ashish. Let me now review the results of our fourth quarter fiscal 2021. Q4 revenue was $72.9 million, up 15% from the prior quarter after adjusting for the divestiture of Ctrack South Africa, and up 10% on an as-reported basis. Our strong results reflect growing demand for our 5G mobile broadband and fixed wireless products and continued market momentum of our cloud solutions. Next-generation solutions, which are comprised of 5G devices, and all of our cloud software assets increased 29% over Q4 fiscal 2020 and represent 58% of total revenue in this quarter. Full year fiscal 2021 5G device revenue was up 132% over 2020. Fourth quarter IoT & Mobile Solutions revenue was $66.2 million, up 16% from Q3. The strong performance was fueled by improving demand for our mobile hotspots from our carrier partners who continue to expand their 5G footprint globally. We also benefited from continued demand for our advanced LTE hotspots. Although sell-through of these products remains relatively stable, looking forward, we anticipate greater variability in 4G demand from our carriers as all of our partners shift their focus to driving adoption of 5G devices. Enterprise SaaS solutions revenue was $6.7 million, which was flat on a sequential basis, excluding Ctrack South Africa. We are currently integrating and transforming all of our software assets into a new cloud-driven 5G enabling solution suite. We will provide more information in the coming quarters, but needless to say, we believe this will be an important growth driver in the coming years. Gross margin for the IoT and mobile business was 22.2%, down from 24.4% last quarter. The gross margin decline reflects a product mix shift of LTE device sales and higher freight costs. As Ashish discussed earlier, while challenges continue in the supply chain and logistics, we have seen some stabilization in recent months in these areas. That said, we expect IoT and mobile gross margin will improve in Q1. We see potential for significant gross margin expansion over the long-term as our enterprise initiatives and sales of next-generation solutions will comprise a greater mix of our revenue. Our Q4 operating expenses totaled $25.6 million, down slightly from $25.8 million in Q3 despite lower levels of capitalized R&D. We expect total OpEx will not increase materially from these levels and expect to see improved operating leverage in 2022 as revenue growth accelerates. Q4 net loss was $8 million or $0.08 a share, in line with the prior quarter. We reported an EBITDA loss of $1.2 million compared to a $773,000 loss in Q3. The sequential decline was largely due to the sale of Ctrack South Africa and the impacts to the voice [ph] mix and freight costs discussed earlier. For additional details on our non-GAAP and adjusted EBITDA results, please refer to the reconciliation tables in our press release. Cash, cash equivalents and restricted cash at the end of Q4 was $49.8 million, and our outstanding convertible debt remained unchanged at $157.9 million, net of the impact from fair value adjustment and amortization expenses related to debt discount and issuance costs. Turning to 2022; we are reaffirming our outlook for pro forma revenue growth of 25% adjusted for the divestiture of Ctrack South Africa, and we are still targeting the second half of 2022 to turn free cash flow positive. Between 5G technology leadership, strong demand for our next-generation products, and our growing enterprise pipeline, we remain confident that the company is positioned well both, strategically and financially. From a timing perspective, we expect some normal seasonality into Q1, although we expect to see growth from the prior year, normalized for the divestiture of Ctrack South Africa. Beyond Q1, we expect our revenue to ramp driven by increased adoption of our cloud and 5G solutions in carrier and enterprise markets. As our product mix gradually shifts toward higher-end 5G enterprise solutions, we expect to see benefits in gross margin later this year. In the meantime, we are being conservative in assuming the challenging supply chain and logistics environment remains throughout 2022. We plan to remain disciplined with respect to our operating expenses, which will support improved operating leverage in 2022. With that, let me turn it back to Ashish for his closing comments.
Ashish Sharma: Thank you, Bob. Before we turn it over to Q&A, I want to reiterate how excited I am about the remarkable transformation in all areas of Inseego's business. As Dan said in the beginning, not that long ago, we were dependent on selling one product to one large carrier Verizon. The investments we've made have allowed us to enter 2022 as a leader in helping carriers and enterprises embrace the 5G future. We've expanded our products beyond a single 4G mobile hotspot to a broad 5G mobile and fixed wireless portfolio of enterprise device to cloud solutions. We are expanding our go-to-market with channel partners in multiple regions and are engaging with enterprises to help them succeed in their 5G transformation. Demand continues to be strong, and as 2021 demonstrated, we have an agile and flexible supply chain that has delivered despite the challenging environment. That, along with the significant operating leverage in our model makes me confident in saying 2022 will be the breakout year for Inseego. Thank you. Let's go to Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question will come from Scott Searle with ROTH Capital. Please go ahead.
Scott Searle: Hey, good afternoon. Thanks for taking my questions. Dan, Ashish, congrats on new roles.
Dan Mondor: Thank you, Scott.
Ashish Sharma: Thanks, 
Scott Searle: Just maybe quickly to dive in on the gross margin front. Bob, I'm wondering if you could provide a little bit more color in terms of -- in terms of the gross margins being down, how much of that is coming from component, freight or otherwise? And then as we look forward into 2022, typical seasonality in the first quarter, I mean, how much gross margin pressure do you expect to persist on mobile and IoT solutions in the first half? And where do you think we exit the year in 2022?
Bob Barbieri: Thanks, Scott. Hi. Good questions. Let me start with this. We -- I think overarching and important point is, we don't expect Q4 to reflect our margin expectations for all of '22. So we faced three major headwinds. One was basically by divesting of our South African business; think of that as about 1.5 points of margin compression because we did have the benefit of that in Q3 sequentially. Second, we did have logistics and freight costs; no surprise, something we chatted about in the past and probably to a similar impact, but we do see stabilization there and we're not expecting worsening of that. And also, one of the things we took advantage of is an education opportunity. We've managed our supply chain and our capacity quite well, and we had an opportunistic situation where we could take advantage of this opportunity; that was in the mix at a slightly lower margin, still profitable, still a contributor, and that also kind of affected Q4. Each of those 3 things, we do not see continuing as a drag; so we're not giving outlook for the specific line of gross margin for this coming year as of yet but we think Q4 is not the barometer or the run rate that you'll expect to see from us. So we're feeling we also have some tailwinds that are emerging. We see enterprise solutions kind of growing in mix and importance; that will add to our margin mix. Software also, as we kind of build-up and Scott, as you know, most of our software is engaged in a 36-month SaaS type of model. So that is a gentle ramp up, including in the mix of our overall revenue stack, and that will also improve the mix inside of gross margin. So with that, that's -- that summarize the guidance or the outlook we're ready to provide right now. But I think during the year, we're going to articulate maybe a bit deeper. But I don't want people to kind of miscalculate or misassume what's going on here; so we do see an upward trend in margin throughout this coming year.
Scott Searle: Perfect. Bob, that's very helpful. Ashish, if I could, in terms of the outlook and the guidance, reaffirming the 25% adjusted growth is encouraging; it really implies the continued inflection in the back half of the year. You talked about the pipeline of opportunities growing from 30 twelve months ago to over 200; I think the number was you put out there. I was wondering if you could talk a little bit more about the pipeline of deals, the size of the deals, the adoption cycle and sales cycle there? And what gives you the confidence really in terms of your visibility where we stand today that we get to that inflection point in the second half of this year? Thanks. And congrats, again.
Ashish Sharma: Yes. Thanks, Scott. So let me provide some comments there, right. So first off, those pipeline deals, we've been already engaged with all of last year, right? So many of those are beyond the initial stage of just getting the hands on the product, all of those customers have now acquired the products, they're loving them. They're going through their internal decision-making of how to roll out 5G from a couple of places to hundreds or thousands of locations in some cases. So it's a process that the end customer goes through on how to switch their legacy WAN from either 4G or from fixed technologies that they were using in the past to 5G now, and we're super optimistic on how that process is rolling along right now. And in most cases, I also want you to know and the rest of the gang here to know that we're working with large carrier partners in pretty much all of these deals, right? So we're super optimistic of that journey takes us and just a lot of excitement from the customer base on these opportunities to use 5G for these use cases.
Scott Searle: Great. Thank you.
Operator: Thank you. The next question will come from Mike Walkley with Canaccord Genuity. Please go ahead.
Mike Walkley: Hi, thanks for taking my questions. Dan, congrats on the accomplished [indiscernible] and CEO, Ashish, also my congrats on the promotion, well deserved.
Dan Mondor: Thank you, Mike.
Ashish Sharma: Thank you.
Mike Walkley: Thanks. My first question, just kind of building off Scott's multipart first question; I don't think you answered the second part. Just in thinking about seasonality for the year with all the pipeline of deals, is it kind of a normal sequentially lower Q1 off Q4 and then a steady build? Or is there more like an inflection into that second half of the year based on the timing of some of the deals combined with maybe a supply chain improving?
Ashish Sharma: Yes, Mike. So, Ashish here. Yes. So listen, we've got multiple growth drivers for 2022, right? So we've got our mobile business which has been on growth path; so that goes on it's own trajectory with more customers we are winning as we just launched with Zain. Recently, we've got our FWA business that -- we've signed up new FWA carriers globally in multiple markets. Then we've got the enterprise pipeline which is what Scott was asking about; so that's on a separate trajectory where we are working both with our carrier customers, in many cases, as a Selvit [ph] program. Plus, we are working through distribution channel in multiple markets in Australia, Middle East, Europe, North America; so that's on it's own trajectory. In addition to that, we also are growing significantly in our software business, right? So you take a look at all of those growth drivers, and -- so it's less about the seasonality of one of those, it's all about the mix of how we model them together for the 25% growth outlook for the year.
Mike Walkley: Got you. That's fair. And just trying to delve in a little deeper, even though it's off a smaller base on an as adjusted basis, does software grow faster than hardware to contribute to margins exiting the year or do they kind of grow in parallel? Any comments on those two different business growth rates?
Ashish Sharma: Yes, they grow in parallel -- they've grown parallel. I mean, as we're shipping more and more 5G product to enterprise, the attach rates are high, and that part of the business is growing. Now it will start to contribute more as the time goes along because the software recognition for a lot of the attach rates works that way. But yes, it's all happening in Panama.
Mike Walkley: Great, thanks. And then, Bob, a question for me as software ramps, you had the sale of Ctrack, so you get kind of that negative effect on revenue. But as software ramps, where does that gross margin get to overtime as you ramp it?
Bob Barbieri: I think, Mike, we've internally have not decided to put a specific number rather than provide direction. So I don't want to frustrate you or anyone in the audience. With that, we may come out with additional forms of outlook but directionally, we see a good, solid contribution. We do believe 5G, especially in the enterprise, higher gross margin as that grows in mix that will bring up the gross margin. Second, software as we continue with the 36-month per sale ramp, that will become a bigger and bigger mix overtime. And all of that SaaS follows a more traditional SaaS type of gross margin; so that improves the mix as well. So perhaps later in the year, we'll maybe get a little bit more granular, but we're not ready to kind of make that commitment; but the direction is up.
Operator: Thank you. And the next question will come from Jonathan [ph] with Cowen. Please go ahead.
Unidentified Analyst: Hey, good afternoon and congrats Dan and Ashish. Coming for Lance [ph]. So my first question, so I see that T-Mobile is now the largest customer in terms of 5G. Just trying to get a feel how much of the 5G revenue is just T-Mobile account for or roughly, like in percentages, perhaps?
Ashish Sharma: So Jonathan, we have not broken that out publicly.
Unidentified Analyst: All right. Okay. So on the next -- on the third quarter, 5G accounted for 42% of revenue cloud for '20. Now in the fourth quarter, you mentioned that both segments of both products now represent 58%. Could you maybe give us a little bit more detail into how that 58% breaks out for 5G and cloud?
Ashish Sharma: Yes, Jonathan, I can add to that. So that's about 19% or close to, say, 20% of that is software revenue and the rest is 5G, which is close to 39%, 40%. And it's slightly declined from a percentage perspective because we shipped more 4G product in Q4 than we did in Q3. So 5G actually did decline, 4G was more, and that was because even though 4G is all running really steady in the market but we had some seasonality in the inventory stock up in Q4 that caused the 4G revenue to be more than Q3.
Unidentified Analyst: Okay. The next one, just two more on my end. So the goal [ph] still stands that by the second half of '22, the company will be positive in terms of free cash flow. Does that imply that maybe by the end of '22, will the company sort of breakeven or is it like a good possibility that it will end '22 on a positive note in terms of free cash flow?
Bob Barbieri: The outlook and the guidance we presented said when we exit this year we're in, we will be cash flow positive upon exiting the year.
Unidentified Analyst: Okay, there was. Just a second -- okay. And my last one, what do you expect in terms of CapEx for '22?
Bob Barbieri: I think CapEx would parallel our OpEx; so we're not presuming any growth. I mean, we kind of look at the place, almost like a fixed cost absorption type of model where we think we have both capacity in the field, capacity amongst our teams, both go-to-market and R&D teams, and so on to grow at both a faster rate and a much higher level of revenue. So I think the best way to assume is we're not going to grow the cost and the CapEx lines, we're going to grow revenue.
Unidentified Analyst: Got it. Okay. Thank you.
Bob Barbieri: You're welcome.
Operator: [Operator Instructions] The next question will be from Mike Latimore with Northland Capital Markets. Please go ahead.
Mike Latimore: Yes, thank you. And congrats, Ashish and Dan.
Dan Mondor: Thanks, Mike. 
Ashish Sharma: Thanks, Mike.
Mike Latimore: Just on the Enterprise Solutions; you highlighted that as a gross margin tailwind. I guess can you provide a little more color as to what are you thinking Enterprise Solutions gets to this year? Is it sort of mid-single-digit percent of revenue or just some ballpark there? And then, you also highlighted that I think a few carrier customers are in late stages of doing data plans for these products, maybe just one more color on that would be great.
Ashish Sharma: Yes, Mike, Ashish, so I can take that. So the first question about enterprise pipeline and deal, right? That was the discussion earlier that we're still sort of in the early stages of the customers starting to deploy the 5G WAN connectivity solutions at scale. So that is still, from a ramp perspective ahead of us, and so how that ramps up, like we're monitoring, we're working closely with the customers, and we are seeing great performance from the 5G networks from all the carriers we work with here and in the focused regions. So all is looking positive. And so once those scalable deployments start to convert, we'll start to see that as becoming meaningful part of our revenue later in the year; so that's one. And second question, you asked about the 5G plans and packages; so that is still a work in progress in multiple geographies. We are seeing that our carrier partners are getting extremely creative as they build out the coverage in their networks on the type of clients that would then drive a lot of these enterprise offerings in the marketplace. So, I don't want to speak on behalf of a certain carrier but a bunch of it is out in the news that you can read. But that's all happening in parallel as we are making this push with enterprise in the market.
Mike Latimore: Makes sense. Makes sense. Can you talk a little bit about your R&D levels? Are you going to -- sounds like you're going to hold these roughly constant throughout the year or how should we think about just the R&D line this year?
Bob Barbieri: Yes. So I mean, I think the best way to think about it is anticipate R&D to be relatively flat. And in some situations, we've already pre-invested in some R&D that will get us to the outlook that we talked about and beyond. So we're not anticipating growth in R&D. Mike, the other thing is, as you know, R&D is also -- when it hits the P&L, I should say, it's reflective of what gets capitalized in period as well as kind of prior period spending that is amortized. Each of those is stratified by the type of projects; so sometimes there's quarter-to-quarter ins and outs that are not aligned with cash, it's more of how it translates in the P&L. But overall, if you're thinking of spending and much of this will align with the P&L, think of we've flat to absorbing that and then growing the top line off the back of the R&D we've already put in place.
Mike Latimore: Okay. Got it. And then just lastly, I guess, on the Ctrack business, now that we're sort of coming out of COVID, is there going to be a tailwind to this business or how should we think about that?
Ashish Sharma: Yes. So Mike, that's what we had mentioned earlier in the script as let us come back and articulate where we are taking the business as we are integrating that business with our 5G business, and we see great used cases we can deliver with the technology we've got there. As a stand-alone business, there is growth in that business, we had some slowdown because of COVID last year and year before but things are back on track. But there's a bigger vision that we've got on taking that business, and we'll talk about that in the future earnings calls.
Mike Latimore: Yes, sounds good. Best of luck.
Ashish Sharma: Thank you.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Ashish Sharma for any closing remarks.
Ashish Sharma: Thank you, operator, and thanks very much, everyone for joining the call today and for the great questions. I also want to thank our customers, our partners and our exceptional employees for another great quarter and remarkable year. Thanks, again.
Operator: And thank you, sir. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.